Felisa Villan: [Interpreted] Good morning, ladies and gentlemen, and welcome to Enagás' earnings presentation for 2025. We will also be sharing 2026 targets with you. The documents have been filed with the stock exchange authorities at 7:36 this morning and are also available on our website, www.enagas.es. Arturo Gonzalo, Chief Executive Officer of Enagás, will be running this call, which we expect should take about 20 minutes. And after that, we will open the Q&A session in which we will try and answer your questions in as much detail as possible. Thank you very much for your attention. I'm going to hand it over to Arturo Gonzalo now.
Arturo Aizpiri: [Interpreted] Good morning, ladies and gentlemen. Thanks very much for your attention. I'd like to welcome you to this earnings presentation in which I am joined by our CFO, Luis Romero; our Board Secretary and CLO, Diego Trillo; our Chief Officer for Institutional and Investor Relations and Communications, Felisa Martín; our Head of Investor Relations, César García; and our Head of Management Control and Business Analysis, Natalia Mora-Gil. I'll start my presentation covering the main milestones in the implementation of our strategic plan this year. And then I will speak about the main highlights of our financial results, which, as you will have noticed, have outperformed the year's budget targets. And finally, I will go over the progress made in our ESG commitments, and I will present the company targets for 2026. It's been a year since we disclosed our strategy update. And 2025 has been a year of consolidation for Enagás in which we have made rapid progress along the 3 main lines of our strategy, which you may recall, are supply security for Spain and Europe, financial and operating expense control under our efficiency plan and the development of green hydrogen infrastructure. Today, we are sharing yearly performance exceeding the targets we had set, demonstrating our ability and the speed at which we can execute our strategy. As you can see, 2025 was a year full of key milestones in which we have proven more than ever what a key role we play in supply security and decarbonization for Spain and Europe. The gas system had a 100% supply guarantee and availability, and made a decisive contribution to getting the electricity grid back up in operation after the blackout here in Spain. The critical role of natural gas and gas infrastructures in ensuring the security of the energy system overall has remained evident throughout the year within a robust operational framework, which will continue to apply in 2026. The total demand transported by the Spanish gas system, that's domestic demand plus exports, increased by 7.4% in 2025. This figure includes a 33.4% increase in gas demand for electricity generation. According to the grid operator, combined cycle plants have increased their contribution to average daily cover of the Spanish electricity system from 10% to 20% since March 2025. There has been a 2.2% fall in conventional demand, mainly due to the lower use of cogeneration and an increase in total gas exports of 17.3%, especially to France, which increased 58.9%. And these figures clearly show that gas infrastructures are critical, not just for supply security in Spain, but also for the rest of Europe. Spain is increasingly consolidating its strategic role as an entry port for gas into Europe, and the Spanish gas system continues to stand out for its enormous flexibility. In 2025, we received natural gas and LNG from 16 different points of origin. In January 2026, total demand transported also went up 11.9%. Also, the gas system has showed enormous resilience in the face of extreme weather phenomena, which have taken place both in 2025 and in 2026 so far, and gas supply has not failed under any of these adverse circumstances. There's also tremendous interest in the long-term outlook for the Spanish gas system. Currently, there's 2,100 of loading slots for LNG in Spanish regasification plants and about 1,000 loading slots between now and 2040. All of these numbers reflect just how sound the Spanish gas system is, generating an EUR 800 million surplus between 2022 and 2024. This robust financial health has had a knock-on effect, bringing tolls down by 42% for domestic consumers and 70% for industry between 2021 and 2024 according to Eurostat figures. All in all, our gas system is an outperformer in Europe. Spain is one of the EU countries with the most competitive tolls, and Enagás, according to the European Council of Energy Regulators, is the most efficient TSO in Europe. As you know, the CNMC is shortly going to announce the 2027-2032 regulatory framework for the gas system. Both the standards laid down by the regulator and the government's energy policy guidelines explicitly highlight the need for the Spanish gas system to be properly remunerated so that it can go on playing its crucial role in guaranteeing supply security in Spain and supporting the energy transition whilst also facilitating the incorporation of renewable gases into the system. Enagás' regulatory vision is completely aligned with the guidance provided by both the CNMC and the government. We need a remuneration framework similar to that of our European peers with an after-tax IRR of between 6.5% and 7% approximately. And for this, the following parameters must be applied: A financial rate of return of approximately 6.5%, identical to that of the electricity system. Sufficient return to cover the maintenance and operation expenses of gas assets, calculated prospectively to cover the expected OpEx of future years plus a suitable margin. The cost of the current regulatory period for gas were set using real numbers for 2018 and 2019, and they've not been updated since despite a cumulative inflation of over 20%. An incentive promoting the extension of the useful life of assets so that facility owners will maintain these assets available to the system in spite of their regulatory useful life being over without needing to carry out replacement or substitution investments, a mechanism to allow the gas system to contribute to the overall security of the energy system, focusing especially on the role of gas in providing continuity and backup for the electricity grid, taking into account the growing impact in maintenance of infrastructures of extreme weather events. Having a reasonable remuneration framework is crucial for the sustainability of gas infrastructures. Industrial competitiveness, the security of the energy system as a whole and the development of renewable gases such as biomethane and green hydrogen. In 2025, green hydrogen has also achieved crucial milestones and its deployment continues to move forward at speed as showcased in the 4th Enagás Hydrogen Day, where we could see the enormous political, regulatory and industrial backing for hydrogen. The third Vice President of the Spanish Government and Minister for Environmental Transition and Demographic Challenge, Sara Aagesen, announced the presentation of a draft bill to establish a national Spanish hydrogen system, a new regulated market, and the tools needed to develop the infrastructure required as well as to boost hydrogen demand. Teresa Ribera, Executive Vice President of the European Commission for a Clean, Just and Competitive Transition, stressed the full commitment of the European Commission towards H2med and to green hydrogen development. And Cani Fernández, the Chair of the National Committee for Markets and Competition, explained that the CNMC is already working to align the Spanish framework with European targets. Spain and Europe are showing unprecedented financial support as well. The Spanish Government has already awarded around EUR 3.2 billion to projects, representing a total of 4.1 gigawatts of electrolyzer capacity in Spain. Spain is set to produce the most competitive green hydrogen in Europe as confirmed by the first 2 European Hydrogen Bank auctions. In the next funding round, Spanish projects will receive an additional EUR 415 million approved by the Ministry for Environmental Transition and the Demographic Challenge under the Auction-as-a-Service mechanism. For these projects to materialize, infrastructures are crucial. 64% of the projects presented to the latest European Hydrogen Bank auction require hydrogen pipelines. That is a European Hydrogen Network to connect them up. Green hydrogen is an essential pillar of the European project, as the European Commission has demonstrated with each of its major initiatives in 2025 in its road maps such as the Competitiveness Compass and the Clean Industrial Deal as in the 2028-2034 multi-annual financial framework to be agreed by the member states this year in which the commission proposes to increase funding for cross-border energy infrastructure fivefold to EUR 30 billion, with hydrogen infrastructures playing a prominent role. Also in the European Grids Package and in the 8 top priority major energy infrastructures, the so-called Energy Highways, with a dedicated fast-track procedure to speed up their delivery. One of these Energy Highways is the H2med, which, together with the Spanish Hydrogen Backbone, forms part of the Southwestern Hydrogen Corridor. These infrastructures, both developed by Enagás, in 2025, secured the Connecting Europe Facility funds requested from CINEA for studies and engineering for a total of EUR 75.8 million. A connected Europe is crucial for a truly decarbonized competitive European Union with full energy sovereignty. And it's something that cannot wait because nowadays, there's already industries that need these infrastructures and that are already incorporating hydrogen into their investment decisions and strategic plans. According to the Hydrogen Council's Global Hydrogen Compass 2025 Report, the hydrogen industry globally has already committed USD 110 billion in investments with over 500 hydrogen projects at an advanced stage of maturity. In 2025, Europe led in global hydrogen investments with $12 billion committed. But this is just the beginning. Europe has embarked on a major investment cycle that will continue to build momentum. According to ACER, it will increase operational production capacity sevenfold over the next 12 months up to 2.7 gigawatts. And in the last 2 years, final investment decisions have been taken for 2.6 gigawatts of electrolyzer capacity and a further 7 gigawatts are expected to reach financial close or enter construction in 2026. And Spain has a great deal to contribute in the construction of a European hydrogen economy, with highly significant investments that have been announced in recent weeks, are scheduled for this year. One of the most recent and most notable transactions was the Repsol Petronor FID to install a second 100-megawatt electrolyzer in Bilbao as we roll out hydrogen infrastructures in line with our calendar. 2025 was a pivotal year for the H2med Corridor. No other pan-European hydrogen infrastructure is showing progress on this scale, with 4 decisive milestones hit in 2025. Strong backing from Europe and the member states as well as receiving CEF funding and being included amongst the Energy Highways, H2med has been recognized by France and Germany as a flagship project as part of the Southwestern Corridor. Recently, the French Minister for Environmental Transition and Sustainable Development stressed that H2med, "is much more than a simple transport infrastructure. It is one of the keystones in France's strategic planning." Sound interest from Europe's industrial ecosystem as demonstrated in the launch in Berlin of the H2med Alliance, bringing together 50 leading partners from across the European value chain. Thirdly, H2med has now become a business reality. And together with our partners, we have established a clear corporate structure through the BarMar SPV and the appointment of the CEO and the executive team. And fourthly, in the technical level, progress has been truly remarkable. We have successfully completed the geophysical studies for BarMar and confirm that the subsea route is technically viable, and we are carrying out pre-FEED engineering, working with leading European engineering firms. We've also deployed the public participation plan for the CelZa interconnection in Spain. In short, we continue to take all necessary steps to ensure that H2med can connect the immense renewable energy potential of the Iberian Peninsula with Europe's major industrial centers. To this end, Spain will have fully operational domestic infrastructure, the Spanish Hydrogen Backbone, which continues to grow on schedule. We have already completed the conceptual engineering and awarded the basic and detailed engineering contracts for the network and for the 3 compression stations. We are working with 6 Spanish engineering firms to develop the backbone network. We have launched the public participation plan, the largest such process ever undertaken in Spain. It has already been set in motion across 9 autonomous communities and over 300 municipalities with institutional backing at the highest level from regional presidents and the Government of Spain, underscoring that it is a truly strategic nationwide project and with strong support from industry and civil society. In 2026, we will complete this public consultation -- participation plan. We will finalize the extended basic engineering for the compression stations and develop the detailed engineering for all the pipeline sections. And moreover, Enagás has proposed the inclusion of a further 4 additional sections in the network. These were submitted last October to the 10-year network development plan or TYNDP with a view to their inclusion in the third PCI list. And as for H2med, in 2026, we will launch the FEED phase for BarMar, complete the environmental studies and the conceptual engineering for the Barcelona Compression Station and complete the detailed engineering and the environmental impact assessment for CelZa. Progress in the infrastructure will be accompanied by further progress on the political investment, regulatory and technical fronts. Just to mention a few, this week, we have the deadline for the third European Hydrogen Bank auction with EUR 1.3 billion in funding to which we will add, apart from the EUR 415 million I've already mentioned, provided by Spain, another EUR 1.3 billion provided by Germany. And the results will be announced between May and June. In the second quarter of 2026, the European Commission will publish the final second PCI list, and it will also be the year in which the third renewable energy directive, RED III, will be transposed as well as the hydrogen and decarbonized gases package into the legislation of the member states, a crucial step for the European Hydrogen Network. All of this goes to show that 2026 will be a crucial turning point for the takeoff of hydrogen. Before going into the detailed results of our earnings, let me speak to what's going on with our arbitration cases in Peru. As you know, on May 23, ICSID once again found in our favor in the arbitration on the gas pipeline in Southern Peru or GSP, and in fact, increased the amount of the award to USD 303 million. In this way, they updated the fair value of the claim generating an immediate net capital gain in our books at that time of EUR 41.2 million. Subsequently, on June 2, ICSID, as predicted, launched a request for annulment of the award filed by the Republic of Peru, which meant enforcement was automatically suspended on a provisional basis. The ad hoc committee and the schedule for the court's annulment proceedings have already been defined, and the hearings have been set for the end of June 2026. So this year, we also expect ICSID to notify us of its ruling on the TGP award. Let me now go over the most relevant figures of our 2025 financial performance. Our core after-tax profit was EUR 266.3 million and our EBITDA, EUR 675.7 million, both above our budget targets. If we consider one-offs, 2025's net profit was EUR 339.1 million. There are 4 factors underlying this excellent 2025 performance. First, the effectiveness of Enagás' efficiency plan, which has brought down core operating expenses by 0.6% versus 2024 levels. Second, improved financial revenues, with financial expenses down 20.5%. We ended the year with our net debt at EUR 2.47 billion, well within our annual budget forecast. Over 80% of this debt is at a fixed rate. As for the financial cost of our gross debt, it is 2.1% lower than 2.6%. The rating agencies, Standard & Poor's and Fitch, have rated Enagás BBB+ with a stable outlook. Our FFO to net debt ratio is 25.7%, and we maintain an extraordinarily solid liquidity position of over EUR 2.51 billion. Thirdly, our subsidiaries have contributed EUR 155.3 million to our EBITDA, which shows excellent performance in the year. The Trans Adriatic Pipeline continues to be vital for supply security. And since it went into commercial operation, it has transported over 52 bcm of natural gas to Europe. The company has completed the expansion in Greece adding an additional 1.2 bcm in capacity since January 2026. DESFA was awarded a tender for EUR 174.4 million in grants for its projects of common interest or PCIs. And last year, we set up Scale Green Energy to develop infrastructures that will contribute to the decarbonization of shipping and overland transport and to the rollout of logistics chains around CO2 and ammonia. Scale Green Energy has signed a grant agreement with CINEA, the European Climate, Infrastructure and Environment Executive Agency to develop hydrogen refueling stations within the ECOhynet project. In addition, in the LNG bunkering business, construction on the Alisios carrier has been completed, and the final investment decision has been made to develop the Mistral tanker, which will start operating in 2028. And fourthly, our asset rotation operations have had a very positive impact on our earnings. The sale of our stake in the Soto La Marina Compression Station in Mexico for EUR 15.2 million has brought in net capital gains of EUR 5.1 million. The acquisition of 51% of AXENT's share capital for EUR 37.8 million, bringing our stake to 100%, has triggered a positive impact on after-tax profit of approximately EUR 17 million, due to a revaluation of our previously held stake on our books, and the sale of Sercomgas has brought in a net capital gain of EUR 9.6 million. In 2025, we have continued to meet our ESG commitments, environment, social and corporate governance. Thanks to this, as you can see in the presentation, we continue to hold leadership positions in the key sustainability indexes worldwide. Just to mention 2 recent examples, in the latest assessment by the Dow Jones Best-in-Class Index, we were given a score of 91 out of 100. That's 4 points higher than the previous year. And the company has also been recognized as the best company in the world in our sector in gender equality by Equileap. We also took significant steps forward in 2025 to become a net zero company by 2040. And this year, we will continue to move towards achieving this goal. On the basis of these figures, today, we are announcing our targets for 2026. Core after-tax profit of approximately EUR 235 million and to close the year with net debt at a similar level to that of 2025 of around EUR 2.4 billion and an EBITDA of EUR 620 million. We will keep our FFO over net debt ratio above 15% and therefore, in line with our BBB+ rating. We expect to carry out net investments of EUR 225 million, and we reiterate our commitment to continue to remunerate our shareholders with a EUR 1 per share dividend. Now I will finish with a few conclusions. This has been a year of consolidation for Enagás in which we have enhanced our risk profile, both for our financial and business positions, maintaining a robust balance sheet compatible with paying out a sustainable dividend. We are posting annual results above our targets, where we've achieved a high degree of execution with regards to our 2025-2030 strategic update. And our investee companies have had an outstanding performance. The gas system and gas infrastructures have demonstrated more than ever they play a decisive role in guaranteeing Spain and Europe's energy security under critical circumstances and consistently throughout the year. In line with what the CNMC has already published and the government's energy policy guidance, we expect a regulatory framework for 2027-2032 that will establish a reasonable return comparable to that of our European peers, which will support the long-term sustainability of gas infrastructures. Europe and Spain are intensifying their commitment to green hydrogen with the designation of Hydrogen Corridors as Energy Highways and the announcement of the creation of a regulated national hydrogen system. Whatever harbingers of a hypothetical slowdown in hydrogen may say in the transformation of this scale, it is to be expected that as projects mature, time lines become clearer and need to be adjusted. But what is beyond a doubt is that we are currently witnessing a growth phase in investments and the consolidation of infrastructure deployment, which will form the European hydrogen network. Hydrogen is essential for Europe's competitive decarbonization and Europe's strategic autonomy, and it's already growing strongly in other parts of the world. The European Union is deploying new mechanisms to avoid falling behind and to reinforce this investment cycle. From Enagás, we've already begun developing our own infrastructure, achieving significant technical business and commercial progress. Hydrogen is a strategic project, as recognized by European and national institutions, regional administrations and major industrial players, Enagás will continue to do its utmost so that this project, crucial for Spain and for Europe, will become a reality as soon as possible. Thank you very much. And now we are, of course, at your disposal to answer your questions.
Felisa Villan: [Interpreted] We're opening the Q&A session, please go ahead.
Operator: [Interpreted] [Operator Instructions] Thank you. First question from Ignacio Doménech from JB Capital.
Ignacio Doménech: [Interpreted] I have several questions about the regulation review and part of your earnings call. As part of the regulation review, I would like to understand which elements and remuneration risk not growing for the '27-'32 period? That's my first question. The second one deals with provisions. I have seen a shift of approximately EUR 70 million. I would like to understand where that shift comes from. And third, about hydrogen. My question is, do you expect any additional delays in the Backbone Network FID? And would this allow for a broader or more interesting dividend payout policy?
Arturo Aizpiri: [Interpreted] Thank you, Ignacio. I will now answer your questions. First of all, about the elements for the next regulatory and remuneration period. We consider that in the energy policy guidelines approved by the government last November, it was considered convenient to maintain high regulation stability. So we can expect adjustments for certain parameters, but no big changes in the regulatory landscape. We believe that to deal with or to meet the guidances from this government policy and in the preliminary consultation by the CNMC for the gas system, 4 elements need to be considered to turn that principle of sufficient payout maintained, to provide optimum maintenance of the gas system, to support the entire energy system and electricity system, while at the same time, deploying natural gases. These 4 elements are the following: First, paying close attention to operating expenses. We know that most investments have been made in the gas system. So most operations are optimum maintenance and running of the assets. We believe that this element must be contemplated under a prospective view. Otherwise, we would have to face, as we did in the latest period, cost increase. Second, we believe that we need to maintain a certain margin in OpEx as happens in other regulatory systems. Third, the government's guidelines on energy policy focus intently in setting up incentives, extending assets useful life once they've come to the end of their regulatory life cycle. In other words, encouraging or incentivating operators to extend the life of assets rather than investing in substitutions. So we believe that the critical life cycle will be a key element. At the same time, a similar mechanism to the present RCS needs to be maintained, to remunerate the availability of the gas system, to participate in the general energy system, specifically in the electricity system, particularly since OpEx come mostly from dealing with extreme weather events, which can be contemplated in this continuity figure for compensation in terms of sustainability for the energy system. Second, you were asking about a shift in the provisions in our note. Well, 2025 financial statements do include a provision of EUR 116 million under the line other long-term obligations. This provision is connected to a right of collection for the same sum, booked as an asset deriving from a possible tax break generated by the settlement of the companies in Tallgrass Energy. I must highlight that both elements are directly related, Ignacio. Therefore, the impact for Enagás would be positive if this tax break is materialized and the provision is reverted or at most neutral if this tax break did not come to happen and both the provision and the asset were reverted. At any rate, there would be no negative impact in any scenario. And to reinforce the materialization of this positive scenario, we got insurance covering the contingency from several POVs. And last, you were asking about additional delays in hydrogen structures leading to a better dividend payout. Well, the company's strategy entails maintaining a sufficiently solid balance to organically tackle the investment plan for hydrogen CapEx and at the same time, keep our rating and our dividend policy stable. If any delays should happen, basically arising not from a change in targets or strategy either in Europe or Spain or Enagás but stemming from administrative tasks like permits and environmental impact assessment, we will save that spread for future years when the investment ultimately takes place. So our commitment is a sustainable competitive dividend to be paid out. And if our conservative assumptions are met, it will go beyond 2026. But the elbow room we might eventually get from some punctual delay in hydrogen infrastructures, we would save as a margin to keep deploying that CapEx in future years.
Felisa Villan: [Interpreted] Well, thank you for your question, Ignacio. Next question, please.
Operator: [Interpreted] Thank you. No more questions in Spanish.
Felisa Villan: [Interpreted] We will now take your questions in English, please.
Operator: Thank you. Moving on to questions on the English side. First question is from Julius Nickelsen with Bank of America.
Julius Nickelsen: Just 2 questions for me. First one also on regulation. Could you just provide us with an update on the time line? I know that the draft has been delayed, but any indication would be really useful for when we have to look out for the draft to come out. And then the second one is on capital allocation as well. You just talked about the dividend. But in terms of M&A, is that something that you assess at the current moment given the balance sheet strength? Or do you want to keep the buffer for any hydrogen investments? It would be interesting to hear your thoughts.
Arturo Aizpiri: Thank you very much for your questions, Julius. First of all, talking about the regulation, and you were asking for some update on the time line. This past week, the Director of the Energy Services of the CNMC in a public event announced that the draft circular proposals will be subject to public consultation in the coming weeks. So she was not more precise than that. But she said that this was not going to happen in a few days, but just in a few weeks. So we expect that this could happen, Julius probably in March or April. And this would be necessary to have the circulars approved, finally approved, let's say, something like by October, by the start of the next gas year as we define it. So I think that the CNMC is following the calendar, and we will have the proposal in March, April, and we will have the final version before the summer, and we will have the circulars finally approved in October. This is our best estimate, of course, Julius, and this is absolutely up to the CNMC. Regarding capital allocation and the possibility of considering opportunities in M&A, well, 2 strong messages here. First of all, the absolute priority of Enagás is ensuring, as I said, the development of the company's organic plan in renewable hydrogen, the sustainability of the dividend policy and the maintenance of solid credit ratings. This is our -- these are our red lines. Second, if we consider any investment opportunity, this would have to meet the criteria defined in our strategic plan, including reasonable profitability and alignment with the established investment requirements, a focus on Spain and Europe and on regulated assets. So we are assessing the opportunities that may arise in the market, but with nothing specific in our plans and always considering these strict requirements.
Felisa Villan: Many thanks for the answer. Many thanks, Julius, for your questions. We are ready to move on to the next one, please.
Operator: Next question is from Arthur Sitbon with Morgan Stanley.
Arthur Sitbon: I have 2. The first one is on your net financial debt target for 2026. It's broadly flat with the net debt achieved in 2025. So I just wanted to check, basically, it seems to me that there is no cash inflow expected from Peru in 2026, and that would come later. I was just wondering if this is just a conservative assumption that you're making or if it's a genuine expectation that you won't receive cash in 2026? That's the first question. The second one is just thinking a little bit in -- about the bigger picture of the regulatory review in Gas Networks. I see that consensus expects significant growth in net income in 2027, close to 9%, at around EUR 255 million. I imagine a lot of the contribution from hydrogen networks investments will be after 2027. So in that context, I was wondering what would be needed to have so much net income growth in 2027? Is it that the increase in allowed return that you're getting, close to 100 bps, is going to be enough to have this 9% of net income growth? Or do you need other improvements in the regulatory framework to reach these types of numbers?
Arturo Aizpiri: Thank you very much, Arthur. Regarding our net debt, I will ask Luis, our CFO, to give you a detailed net debt bridge for this year. But in general terms, we are not counting on getting cash inflows from the GSP award in 2026. We are counting on those for 2030. So we are being conservative. You are right. But we are putting ourselves in a very prudent, very conservative stance. So we think it's better to not to count on this money coming earlier, just for the sake of being conservative, as you said. But what I would like to mention here is that we expect to continue optimizing our cash in Peru coming from the dividends of TGP. As I said, we are expecting that the final hearing for the GSP annulment appeal will take place in June, July this year. And the ad hoc committee created by ICSID should release their resolution 6 months later. If not, they have to inform every month about the expected date of this resolution. So when this happens, and we are pretty sure that the result will be positive for Enagás, we can continue optimizing our cash in the country or when the award for the TGP arbitration is received and provided that it's positive for Enagás as we are sure it will be, then this can happen as well. Whichever things happens earlier, we can continue optimizing our cash in the country. According to what the tribunal has said for the TGP award, this should be released in the second quarter of this year. So that would be probably what would happen first. So Arthur, we are not counting on cash inflows this year for our rights to be paid by the GSP award. But yes, we are expecting to continue optimizing our cash in Peru once the TGP award is released or once the annulment appeal is resolved by the ICSID Committee. And regarding the big -- I will let -- I will give the floor to Luis in a minute for a detailed net debt bridge. But addressing the bigger picture you were requesting for our 2027 OpEx remuneration, we are not giving any guidance for 2027 yet. We think that this is not the moment for that. We are still in the process of knowing the circulars for the next regulatory period, and we are still in discussions with the regulator. What we are pretty comfortable and we are able to say is that we consider that EBITDA and BDI will start to improve at the beginning of the next regulatory period. So Luis, please?
Luis Romero: Thank you, Arthur. Just to understand well what is the expected evolution of the net debt between 2025, 2026, that we expected that it's going to be maintained really flat, no, probably close to EUR 2.4 billion, as always has been our commitment, no, when we present the update of the solid plan in February 2025. The main 4 steps are the following. I think we have a fund from operation of EUR 550 million. On top of that, we account with an investments that are going to be close to EUR 220 million, as you see in the material that we report. Of course, the dividend of EUR 1 per share count with around EUR 260 million of cash flows for dividends, and we have working capital -- a negative working capital of EUR 72 million. This is going to be the results of, first, the cash inflow of the O&M for the hibernation of Castor that we expect to collect this year after the positive sentence of the court. And also, it's true that we are going to suffer also the lower tariff during the year, that is going to be the final year where all the adjustments made by the regulator is going to be allowed to practically eliminate all the surplus generating in the natural gas system between 2021 and 2024. So this is the main figures. I think it's important that at the end of 2026, we will finalize with our funds from operation net debt adjusted by the rating agencies higher than 20%. And this is something that give a lot of comfort, and the company will be really unleveraged with the capacity to face all the CapEx program in hydrogen and also sustain the dividend policy.
Felisa Villan: Thank you very much for your question, Arthur. We are ready to take the next one.
Operator: Next question is from Beatrice Gianola from Mediobanca.
Beatrice Gianola: Just had a quick follow-up on the regulatory front. Just wondering if you can provide us with an indication on the rate of return that you are expecting would be approved by the CNMC or at least proposed by the CNMC. I remember you indicated something around 6.5% to 7% as a whole, a rate of return. So just wondering if this number is still valid? And then I just wanted to understand which are your expectations in terms of a regulatory framework for the hydrogen part, meaning how would you expect the authority to reflect -- to somehow reflect in the new regulatory update, the development of the hydrogen grid?
Arturo Aizpiri: Thank you very much, Beatrice. Regarding the expected rate of return, we are considering a value very, very close to 6.5%. You know that the methodology of the rate of return has already been approved, being in general terms, this methodology common to the electricity and gas systems. However, the last circular approved by the CNMC determines precisely the exact value for the allowed return for the electricity system, which is, I think, 6.58%. But it doesn't give the final figure for the gas system because there is one adjustment coefficient that has not a final value and that will be determined in the circular for the gas system remuneration. If we maintain the value initially disclosed in the initial public consultation of this methodology, we would be around 5 -- sorry, 6.48%, something like that. But this is not final. So we consider that we will be between 6% -- or 6.45% to 6.58%. So this is why we've said in our speech, in my initial statement that we are counting on a rate of return very close to 6.5%, which is the value that is included in our financial projections as approved in February 2025 in our strategic update. So I think this is a good message that Enagás is being very conservative when assessing what the new regulation is going to bring. And I think that this same idea may be extended to the other elements of the remuneration period. So we are being very conservative, and we think that our regulatory vision is very much aligned to the criteria set by the CNMC and by the Ministry, the Spanish Government, in their respective position documents that were published last year. And regarding our expectations for the regulatory frame for hydrogen investments, I think that the next important step will be the draft law for the transposition of the European Hydrogen and Decarbonized Gas Package. You know that this is where the regulatory framework is going to be established in the member states. And in the case of Spain, the Vice Prime Minister, Sara Aagesen, in the 4th Enagás Hydrogen Day, as I have mentioned in my speech, she announced that in the coming -- she said, in the near future, it will be subject to public consultation, the draft law transposing all these elements of the European Hydrogen and Decarbonized Gas Package. So we will know there the initial model of the Spanish government for all the elements of the regulatory framework for hydrogen. And in that law, the new tasks that have to be developed by the CNMC regarding hydrogen will also be established. So we cannot give you, Beatrice, first version of which the model will be, except the European directive itself in which many aspects of the regulation, the access mechanisms, the balance mechanisms for the system, the planning aspects also of the hydrogen infrastructure will be determined. So I insist on the 4 elements: The Vice Prime Minister Aagesen mentioned for this draft law, which are the creation of the hydrogen Spanish system, the national hydrogen system; second, the creation of the regulated hydrogen market; third, the mechanisms to develop the infrastructure; and fourth, the incentivization -- or incentivizing of the hydrogen demand. But we will know this in, we think, in the coming weeks or a few months because the Vice Prime Minister Aagesen said that this will happen in the near future. Thank you, Beatrice.
Felisa Villan: Thank you very much, Beatrice, for your questions. We are ready to take the next one, please.
Operator: Next question is from Ella Walker-Hunt from Citi.
Ella Walker-Hunt: My first question relates to the 2026 guidance and the EBITDA guidance. Can I ask how much of that EUR 620 million will be coming from affiliates versus the underlying business? That's my first question. And my second question relates to green hydrogen. So in your slides, you mentioned that 145 megawatts of FIDs took place in 2025, and you expect 780 megawatts to take place in 2026. On those 2 points, can I just ask how many megawatts are actually operational today? And how do we reconcile these things to the 12 gigawatts with target in 2030 in the national plan?
Arturo Aizpiri: Thank you for your questions, Ella. Regarding our EBITDA guidance, we estimate that in 2026, the contribution from our affiliates will be around EUR 165 million. Regarding the current operational capacity of electrolyzers in Spain as of today, I cannot give you right away the exact figure. I can tell you that the Spanish Government has already awarded public funding to -- amounting to EUR 3.1 billion to an approximate amount of 4 gigawatts. Some of those have already taken FID. Last year, in Spain, 100 megawatts project by Repsol in Cartagena took FID plus this second project of Petronor of an additional 100 megawatts. Those projects are already under construction. Other projects that have taken FID in recent months were the 10-year -- the 10-megawatt project in Bilbao, the first one. The 100 megawatt is the second one. This 10 megawatts is reaching the final stages of construction. And there are -- there is one Iberdrola project in operation in Puertollano, which is, if I'm not mistaken, a 20-megawatt project. And there is also, under construction, one project by BP in their Castellón refinery together with Iberdrola, which is also, if I'm not mistaken, 20 megawatts project. In addition to that, we have our Mallorca project in operation, which is a small project. I think the capacity is 2.5 megawatts, and there are other small projects in Spain. So I would say that under construction or in operation, we have around 300 megawatts. And in this year, 2026, we expect that at least 650 megawatts are going to reach FID. 100 megawatts coming from this Repsol Petronor project that took FID last month in January. Repsol has also announced that their Tarragona project with a capacity of 150 megawatts will be taking FID. You know that Enagás Renovable is also a partner in this project. And Moeve has announced that they intend to take this year the FID for their Onuba project in Huelva with a total capacity of 400 megawatts. So we think that at least in this 2026, an additional 650 megawatts will take FID and will initiate construction, bringing the figure for projects under construction or in operation to 1 gigawatt in Spain in 2026. This is what I can tell you now, but our IR team can share with you more precise figures and estimates. Thank you, Ella.
Felisa Villan: Thank you, Ella, for your questions. Let's move on to the next one, please.
Operator: Next question comes from James Brand with Deutsche Bank.
James Brand: Apologies if there's a bit of background. I'm in an Airport. Hopefully, you'll be able to hear me okay. I had just kind of one new question and 2 clarifications. So the new question is, for the EUR 225 million of investments that you're planning for 2026, could you give us a breakdown of the different areas that's going into? So how much is going into the natural gas business, regulated business, how much is going into kind of hydrogen stuff, how much is going to other stuff? That would be great. And then on the clarifications, the first one is on the GSP time line. I just want to clarify, you said the hearing would be in June. And then I think you then expect a resolution within 6 months. So is it that we should expect kind of a full decision kind of by the end of 2026 or maybe early 2027? Or did I mishear you? And then the other clarification is just on the time line for hydrogen regulation. You said you expect this law for the Spanish Government to be coming in the coming months, I guess. Do you expect that to also have kind of details on how the regulation will work? I'm guessing not. So I'm guessing, for you to have full visibility on the regulation, you need this law and then the CNMC needs to start a process of determining the regulatory framework after that. And if that's the case, are we looking into 2027 before we get that? Or might we get that earlier?
Arturo Aizpiri: Thank you very much, James. Regarding the planned investment amount for 2026, those EUR 225 million. The breakdown is as follows: The natural gas infrastructure, meaning the regulated business, we estimate something around EUR 97 million, mainly CapEx, something like EUR 47 million, and the rest going to the GTS, CapEx, Musel and others. For hydrogen infrastructure, we are planning around EUR 49 million. We are entering the main phase of the FEED engineering investments for BarMar, and we are entering also the detailed and extended engineering for the Spanish Backbone. So that's why the investment in hydrogen infrastructure increases in 2026. For the new businesses and what we call the adjacent businesses, those close to our regulated business but not being regulated themselves, we are planning around EUR 55 million, mainly for Scale Green Energy, around EUR 28 million for the new bunkering vessel, the Mistral LNG bunkering vessel and the rest in other concepts. And others, meaning innovation funds and some international business, especially our investments in Stade in Germany, around EUR 22 million. This is more or less the breakdown of that EUR 225 million. And regarding the clarifications, if I took my notes correctly, first of all, you were asking about GSP. You know that for the annulment appeal, the ICSID designates an ad hoc committee. This committee approved the calendar for the process, and this was already communicated to the parties in the process. And in that communication, the committee established that the resolution should take place 6 months after the hearings. The hearings will take place in late June, early July. So we should get the resolution of the committee before year-end. But if there is any delay that may happen, then the committee will inform every month of the expected date of the resolution. So we expect that it should happen perhaps after that 6 months period but not extending too much that period because this has been the intention declared formally by the tribunal. Regarding the regulation, the hydrogen regulation time line, as I said, the draft law should be subject to public consultation by the government in the near future, meaning that a few weeks or a few months. After the law is passed, then the CNMC has to create the detailed regulatory framework through circulars similar to those of natural gas. But the CNMC is already aware that these future responsibilities are around the corner, and the CNMC has declared the President of the CNMC, Cani Fernández in our Hydrogen Day on January 28, said that the CNMC is already working to be prepared to comply with the European framework. So the CNMC doesn't have a formal mandate yet and doesn't have the final regulatory framework that will arise from the transposition of the directive, but he's already aware that these new tasks are going to be assigned to the CNMC and is starting as they deem it necessary, the initial or preliminary works. Thank you.
Felisa Villan: Thank you, James, for taking part. We are ready to take the next question, please.
Operator: We have no further questions on the English side. Handing back over to the Spanish room once again for further questions. [Interpreted] Thank you. We have one more question. This question is from Jorge Alonso.
Jorge Alonso Suils: [Interpreted] I have 2 questions. The first is considering the situation -- well, the talks that you're having with the regulator and gas demand levels and so on. Do you think it might be conservative or very conservative to have set the targets that you have in the strategic plan? Could you have some upsides over those targets in the plan? And the second question is, what are your expectations for your affiliates or your subsidiaries in the next couple of years, your investees, both in terms of earnings, but also in terms of cash flow generation? And my final question, do you still think, although you don't deem it necessary for the plan, that Peru is no longer going to be a core geography and that you might divest, I suppose, at some point?
Arturo Aizpiri: [Interpreted] Thank you very much, Jorge, for those questions. As for your first question, I think that as far as we're concerned, what we should do is to provide some guidance about how the regulatory model might evolve, but to always be very conservative look at the actual needs of the gas system and comparable with our peers in Europe and their remuneration levels, considering that Enagás is the most efficient TSO in Europe. And so I think that our forecast is definitely prudent and conservative, but it's also very well founded, and we do hold on to the same guidance that we presented last year with our strategic review. I think that's the best guarantee for investors. We don't include in our financial forecast a sort of tactical take on how we think regulation should evolve or where we think it will go. We are always very much aligned with the views expressed by the regulator and the government, which is also a regulator since, as you know, underground storage is the responsibility of the government in this regulatory framework. And so we've not updated our guidance, which we shared in February of 2025, because we think it's very solid and well supported by data and benchmark of other regulatory systems and other operators in Europe. And so we think the best thing we can do for the market is to be rigorous and conservative and maintain stability in our guidance in terms of our financial forecasts. As for the contribution of our investees, I mentioned that, next year, we expect them to contribute EUR 165 million to the EBITDA approximately. I wouldn't extend that guidance to following years, but I do want to make a comment because it has a lot to do with the sustainability of our dividend policy, how we see the average FFO for the 2030 period, where the legacy businesses come in as well as the regulated businesses and the gas businesses and the investees, and also we will start to see revenue from the new hydrogen businesses. Our expectation for the average FFO between '27 and '30 is EUR 520 million on average in that period. And as I said, starting to see growth in our EBITDA and our BDI during that period. And we would -- without hydrogen, that's -- the EUR 520 million is without the contribution of the hydrogen business and the Enagás investees would contribute about EUR 170 million, EUR 180 million of that total per year. We think that's a prudent conservative outlook, which is well aligned with our concept of a sustainable dividend beyond 2026 as long as, of course, as these conservative assumptions apply with regards to the regulatory model. And as for possibility of divesting of our Peruvian business. It's true, as you said, Jorge, that Peru is not a strategic core investment for Enagás and it doesn't really align with our focus on Spain and Europe, which underlies our strategic vision since the 2022 strategic plan. However, we still have ongoing litigation in Peru. And so we will focus on the correct resolution of this litigation. And after that, we might consider the possibility of a divestment. But our priority now is to complete the process, which is about to come to an end. But as I've said, there's still some appeals and some milestones that we have to go through in the arbitration process. Thank you very much, Jorge.
Felisa Villan: [Interpreted] Thank you very much, Jorge, for your question. There are no further questions in this call. Thank you very much, everyone, for participating in this Enagás earnings presentation and for your questions. And of course, we're always available in Investor Relations. Thank you. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]